Operator: Good morning, ladies and gentlemen. Welcome to the TELUS 2012 Q4 Earnings and Guidance Conference Call. I would like to introduce your speaker, Mr. John Wheeler. Please go ahead.
John Wheeler: Welcome, and thank you for joining us today. The news release for our fourth quarter financial and operating results and 2013 targets and detailed supplemental investor information are posted on our website, www.telus.com/investors. [Operator Instructions] Let me now direct your attention to Slide 2. This presentation and answers to questions and statements about future events are subject to risks and uncertainties and assumptions. Accordingly, actual performance could differ materially from statements made today, so do not place undue reliance on them. We also disclaim any obligation to update forward-looking statements, except as required by law. I ask that you read our legal disclaimers and refer you to the risks and assumptions outlined in our public disclosures and filings with securities commissions in Canada and the U.S. Slide 3 outlines today's agenda. We'll start with opening comments by President and CEO Darren Entwistle; followed by a review of operational highlights by Joe Natale, our Chief Commercial Officer. John Gossling, our CFO, will comment on our fourth quarter financial results and take you through our 2013 targets. We'll conclude with a question-and-answer session. Let me now turn the call over to Darren starting on Slide 4.
Darren Entwistle: Thanks, John. Before we review the fourth quarter results, I want to take an opportunity to express my sincere gratitude to our committed shareholders for their overwhelming support of TELUS' successful share exchange. All shareholders now benefit from increased liquidity of one unified common share class; improved marketability, including the listing of our common shares on the NYSE for the first time; and of course, as well enhanced corporate governance from having one share class. 2012 was an exceptional year for TELUS as we continued to deliver strong operational and financial results whilst creating significant value for investors along the way. TELUS's strong performance was the direct realization of our ongoing strategic investments in broadband data technology, driving innovative services and solutions for our customers. And in that regard, 2012 was a hallmark year in terms of TELUS's unremitting focus on putting Customers First in every single aspect of our business. Our excellent financial results this quarter were demonstrated by EBITDA growth of 8.4% and net income growth of 23%. Notably, our wireline business had its first year-over-year increase in quarterly EBITDA in 2 years. Importantly, our customers are demonstrating their increased loyalty, as evidenced by our industry-leading postpaid churn of 1.12%, the lowest fourth quarter result in 6 years for TELUS, and as well excellent and still-improving retention and revenue per client in respect of both our TV and high-speed Internet services. Also significant for investors is our exceedingly strong free cash flow growth of 29% in the quarter and 34% for the full year in 2012. This $1.33 billion of free cash flow in 2012 supports our shareholder-friendly 3-year dividend growth model of 10%, which this organization is clearly delivering on. Importantly, at our upcoming Annual General Meeting in May, I look forward to updating our investors on our dividend growth model beyond 2013 and as well our intentions with respect to multiyear share repurchase programs. Guided by our corporate priorities, as shown on Slide 5, and combined with these strong results, our company is positioned well to achieve our 2013 financial targets and continue to advance our national growth strategy. Priorities that include: Putting Customers First in our hearts and mind and earning our way to industry leadership and their likelihood to recommend our services to their friends and families; and as well further strengthening our operational efficiency and our operational effectiveness, thereby fueling our capacity to invest for future growth. Specific to this priority, as shown clearly on Slide 6, our company has indeed a proven record of driving operational efficiencies. Restructuring costs totaling some $1.2 billion have realized cumulative EBITDA savings of $1.6 billion to the end of 2012. As outlined on Slide 7, we are implementing an earnings enhancement program focused on driving incremental annual EBITDA of $250 million by 2015. This program is reflected in our planned $75 million of restructuring costs in 2013, 56% higher than the previous year. While this is indeed a company-wide program across both wireless and wireline, the benefits will be biased towards our wireline legacy business. Accordingly, we're targeting a significant improvement in our wireline EBITDA trend in 2013. We expect growth of up to 6% at the top end of this target range, and this is a distinct contrast to the 5.5% decline experienced in 2012. Indeed, with this program in place and our focus on elevating the client experience on a continuous basis, I remain confident that our company, driven both by the most highly engaged team in our industry, will continue to build on our extraordinary momentum through 2013 and beyond. I now invite Joe to take you through a succinct review of our key fourth quarter operating results before handing it over to John Gossling, who will cover the financial highlights and as well our 2013 targets. Joe, over to you.
Joseph M. Natale: Thank you, Darren. Starting on Slide 8. We reported healthy Q4 postpaid wireless net additions of 123,000, with an improvement in mix toward smartphones and other high-end plans. TELUS maintained a strong market share of higher-value industry postpaid net additions, as reported by our major competitors, at approximately 38%. Although net adds were down slightly year-over-year, we steadfastly maintained our strategic focus on quality, high-value and smartphone-subject loading. This is evident in our ARPU increase and churn performance, which I will turn to in a moment. Overall, our subscriber base was up 4.5% over last year. Moving to Slide 9. TELUS reported our ninth consecutive quarter of year-over-year ARPU growth. This was driven by strong ongoing wireless data growth as we continue generating robust smartphone adoption. Our smartphone subscriber base increased 34% and now represents 66% of our postpaid base, a 13-point increase over last year. This is being supported by the continuing rapid expansion of our LTE network which now covers more than 2/3 of the Canadian population. Data ARPU was up 17% in the quarter year-over-year, which more than offset moderating voice ARPU erosion and led to a 3.2% increase in bundled ARPU. This was stronger than the 1% increase reported in the fourth quarter of 2011 and the 1.9% in 2010. Notably, in terms of the moderating voice ARPU erosion, total wireless voice revenues were down by less than 1% at 0.4%. As shown on Slide 10, TELUS again reported lower blended churns and a low postpaid churn rate of 1.12%, the lowest for our fourth quarter since 2006. Our industry-leading churn reflects a few things: the success of investments in network technology evolution, the disciplined acquisition and retention investments, particularly around smartphones, and the power of TELUS' intense focus on enhanced customer experience. Turning to Slide 11. TELUS' low churn rate and ongoing ARPU expansion supports our status as the industry leader in lifetime revenue per subscriber at more than $4,000. This allows us to take a more measured approach in acquiring new customers, in line with our consistent focus on higher-quality subscribers. Fourth quarter COA was up only slightly at 453. In spite of the focus on higher-valued smartphone loading, including the recently launched iPhone 5, TELUS' marketing efficiency as a ratio of COA per gross addition to lifetime revenue also remains industry-leading. These metrics clearly show that our focus on smartphones, quality loading and enhanced customer experience is leading to profitable subscriber growth, to the benefit of TELUS and our investors. Turning to Slide 12. You can see the increased scale we're building in TV and high-speed Internet. TELUS' TV subscriber base grew by 33% in 2012 as we continued to expand market share and has more than doubled in the past 2 years. Our high-speed Internet base also continued its strong growth trajectory. Notably, our cumulative TV and high-speed Internet base crossed the 2-million-customers milestone. We continue to see healthy demand for our premium Optik TV offering even though market growth slowed somewhat in the fourth quarter. There also continues to be excellent pull-through growth in demand for high-speed Internet. We effectively gain 1 Internet subscriber for every 2 TV net adds. Combined TV and high-speed net additions of 64,000 once again exceeded residential NAL losses by close to 2 to 1. This is the 10th consecutive quarter that we have seen this trend. We continued seeing positive momentum on the overall economics of Optik TV and Internet. Both are experiencing record-low churn rates. And ARPU is increasing, as a larger proportion of our TV customers come off introductory pricing and add channels and content to their packages. We are also seeing the impact of rate increases implemented in mid-2012. And while residential NAL losses were down slightly year-over-year, we continue to see substitution impacts. And competition remains intense although relatively stable. Identifying and embracing efficiency opportunities to mitigate these impacts and, at the same time, help us deliver an enhanced customer experience is a part of our culture. As an illustration, let me give you a few examples. Caller driver reduction initiatives in 2012 led to 20% fewer calls, even with our expanding subscriber base. We have developed tools that allow us to detect and proactively resolve factors impacting Optik TV. And last year, end-to-end Optik service quality improvements resulted in a 50% reduction in TV and Internet service calls. So we're creating capabilities that enable us to undertake initiatives both big and small, with our increasing operational efficiency at the same time enabling an enhanced and superior customer experience. Let me now turn the call over to John to walk you through the fourth quarter financial results and 2013 targets. John, over to you.
John R. Gossling: Thanks, Joe; good morning, everyone. I'm on Slide 13. Wireless results across-the-board continue to be very strong. Wireless total and network revenue both increased by 8%, reflecting continued subscriber growth and strong data revenue growth. EBITDA for the quarter increased by 14%, while the EBITDA margin on network revenue increased by over 200 basis points to an industry-leading 41.3%. This is an impressive result considering the continued strong adoption of smartphones and associated impact of their higher subsidies on acquisition and retention expenses. CapEx increased by 14% to support network growth and sustainment. Notably, our 4G LTE network service expanded to more than 50 additional markets in the quarter. Despite this higher CapEx, simple cash flow increased by $46 million or 14% this quarter. Slide 14 shows the combined impact of our excellent data ARPU growth, plus the increase in our subscriber base, which resulted in wireless data increasing by $104 million or 22% in the quarter. As Joe touched on, this growth was driven by strong smartphone service revenues due to a higher penetration of smartphones and associated take-up of data plans, as well as higher data roaming volumes. For the full year, data now represents 41% of network revenue compared to 34% a year ago. Slide 15 shows our improving wireline financial results. Revenue increased by 4% or $52 million due to strong 13% data revenue growth from TV and high-speed Internet subscriber growth, combined with rate increases. Wireline EBITDA increased by 1%, reflecting the first year-over-year quarterly increase in 2 years. This increased not only reflects revenue growth but also improved Optik TV and high-speed Internet margins. The EBITDA margin declined slightly as losses in higher-margin legacy voice revenues offset growth in lower-margin data services. With $14 million of lower capital expenditures and EBITDA growth, we generated a strong 60% increase in simple cash flow for the quarter. Slide 16 shows our strong data revenue growth of $90 million or 13%. In addition to TV and high-speed Internet, this result was also driven by increases in managed hosting revenues, equipment sales and health services. For the full year, data revenue now represents 57% of external wireline revenue compared to 52% a year ago. As we move to up a -- at the consolidated picture, it is notable that wireline data, combined with total wireless revenue, represents 80% of total revenue compared to 77% in 2011. On Slide 17, putting these 2 segments together, TELUS reported great consolidated results, with revenue and EBITDA growth of 6% and 8%, respectively. This EBITDA increase is our best result in 5 years. Reported earnings per share increased by 17% to $0.89, which I will discuss in more detail on the next slide. Free cash flow in the quarter was up a strong 29% due primarily to higher EBITDA. Slide 18 provides a detailed breakdown of reported EPS drivers this quarter. Higher normalized EBITDA growth was the primary driver, which added $0.18 to the upside. All in all, a clean quarter that matched the expectations. Slide 19 shows that the company met or exceeded 7 of 8 original and adjusted targets for 2012. The slightly higher capital expenditures reflect higher spending in growth areas and an intentional resolve to take advantage of year-end supply-to-pricing opportunities. We move now to Slide 21 and I'll begin a review of the 2013 targets and assumptions. As you may know, TELUS and our peers are applying the new amended accounting standards IAS 19 for employee benefits. The key difference in the amended standards is that the expected long-term rate of return on planned assets will no longer be used for defined benefit plan measurement purposes. In our case, the defined benefit plan expense concepts of interest cost and return on planned assets will be replaced by the concept of net interest and a determination of net income. Net interest for each plan is the product of the planned surplus or deficit, multiplied by the discount rate. The effects of applying new standards on 2012 reported EBITDA and EPS are outlined on the slide. A full description and effects of the new standard can be found in Section 5 of our fourth quarter management's review of operations. It's important to highlight that the amended standard does not affect our statement of financial position or the statement of cash flows. However, it does impact on how we will present our 2013 targets and report our comparative results going forward. It also affects our dividend payout ratio guideline. Slide 22 shows the upward margin dividends being paid to our shareholders in the last 5 years. Over this period, TELUS has returned an impressive $3.3 billion to shareholders. The TELUS Board of Directors has approved a 10-percentage-point increase in the dividend payout ratio guideline to a range of 65% to 75% of sustainable net earnings on a prospective basis for dividends declared in 2013 onwards. The change is caused by the non-cash effects of applying the amended pension accounting standard in 2013, which I just reviewed. TELUS remains committed to returning cash to shareholders through a dividend growth model of circa 10%. Slide 23 outlines our segmented targets for 2013. TELUS wireless revenue is targeted to increase between 6% and 8% from subscriber growth and modest ARPU growth. We assume that we will continue to benefit from our 4G LTE network investments, resulting in continued growth in data and roaming revenues that more than offset moderating declines in voice ARPU. Wireless EBITDA is targeted to be higher by between 5% and 9%. Wireline revenue is targeted to increase between 2% and 4%, reflecting continued data revenue growth from Optik TV and high-speed Internet as well as from business services. This is expected to be partially offset by continued decreases in legacy voice revenues from wireless substitution and competition. The wireline EBITDA range is targeted to be down by 2% to higher by 5%. TELUS assumes margin improvements from Optik TV Internet services, large enterprise business and efficiency initiatives. This is partially offset by continued losses from higher-margin legacy voice services. It should be noted that, before applying the new pension accounting standards, the 2013 wireline EBITDA target range is $1.5 billion to $1.6 billion, an increase of 0% to 6% from 2012 reported EBITDA of $1.5 billion. This is a very encouraging trajectory, considering wireline EBITDA declined by 5.5% in 2012. Combining the business segments on Slide 24, TELUS is targeting strong revenue and EBITDA growth driven by both wireless and wireline. Earnings per share is expected to be higher by 3% to 14%, reflecting strong EBITDA growth. Capital expenditures are targeted to be approximately $1.95 billion to support ongoing investments in wireless and wireline broadband. Cloud computing and the planned completion of our new state-of-the-art data center in Kamloops in 2013 are also driving our capital expenditures. Capital intensity as a percentage of consolidated revenue is targeted to decline to approximately 17% from 18% in the last 3 years. Slide 25 reviews some of our other notable assumptions for 2013. Total defined benefit pension expense for 2013 under the new accounting standard is estimated to be approximately $160 million of which approximately $110 million will be in operating expenses and $50 million in financing costs. Defined benefit pension plan funding is planned to $195 million. This compares to $172 million in 2012. Cash taxes are expected to increase to a range of $390 million to $440 million due to higher income levels and a large final payment due for 2012 in the first quarter of 2013, as well as higher installment payments in 2013 based on 2012 taxable income. Other key assumptions and sensitivities are also listed in Section 1.5 in the fourth quarter management's review of operations. So we'll wrap it up on Slide 26. Overall, TELUS' 2013 targets build on the strong results achieved in both wireless and wireline in 2012, including strong double-digit data revenue growth. They demonstrate the benefits of the company's ongoing major strategic network and service-related investments, combined with customer-focused operational execution, including a continued focus on cost efficiency. With that, I'll pass the call back to John Wheeler to begin the Q&A session.
John Wheeler: Thank you very much, John. Peter, can you please proceed with the questions from the queue for Darren, Joe and John?
Operator: Our first question comes from Greg MacDonald.
Gregory W. MacDonald - Macquarie Research: Guys, questions on CapEx. I wonder -- the overall question is, $1.95 billion, is that kind of the level that we should be assuming on a go-forward basis? And secondly, if you can give some context on it. With LTE spending coming down in '13, can we assume that wireline spending, specifically FTTN spending, is going up? And maybe, if that's the case, could you give a little context on it: Is it footprint expansion? Is it bulking-up on bandwidth within the existing footprint? Some context would be good.
Darren Entwistle: Greg, I'll take this question. Firstly, I would note that we've gone from circa 22% consolidated CapEx intensity back in '09 to 18% intensity in the period from 2010 to 2012, and we're now dropping down to 17% CapEx intensity. In terms of remaining flat on a year-over-year basis, we're obviously not going to give multiyear guidance and saying, "This is a leading indicator in terms of what you can expect for 2014 and '15 and beyond." I can give you some color to say that the distribution of the CapEx between wireline and wireless is not -- in 2013 is not dissimilar to what we've experienced over the course of 2012. In terms of the wireless broadband investment itself, we still have more to do on the LTE front. Coverage considerations are important, but also the densification of our wireless network is also another consideration as we work to deal with the prevalence of smartphones and the insatiable data consumption patterns of both consumers and business customers. It's also important to highlight that, from a wireless perspective, our CapEx is not just going to macro wireless investments but also micro wireless investments in terms of the small cell deployments that we are undertaking as an underlay to our macro LTE network. And of course also, if we can get the 700 MHz auction consummated in 2013, we want to push our LTE capability into the rural environment of Canada. We think that this is a strategic goal of the Canadian government in terms of bridging the broadband digital device. And we are very keen as an organization to support that goal by affording all Canadians the benefits of being able to access LTE speeds and what that can do in terms of consumer lifestyles and the competitiveness of businesses. Second thing, of course, is our investment in broadband wireline TV. And here we're seeing, of course, significant growth and excellent retention characteristics in terms of our churn and excellent growth from a client revenue-per-subscriber basis as well; so well worth investing in. And so we'll continue to support our broadband TV products of TV and HSIA. But also I think it's important to point out that our broadband wireline investment is also going to be supporting the backhaul of the wireless small cells that we will be deploying within urban conurbations. So we're getting economies of scope in terms of pushing fiber deeper into our access network where we're now not just supporting TV and Internet conductivity but the backhauling of micro wireless traffic as well. And then finally, I think you're well aware, but we're in the progress of a very significant CapEx program to build 2 super Internet Data Centers in Canada: 1 in Québec and 1 in British Columbia. In 2012, we brought the Rimouski data center online. And the second data center, which is in Kamloops, British Columbia, is intended to go online in December of 2013. So we've got dollars dedicated towards that as well. So that's kind of the profile that we're looking at. We think it makes good sense to continue to support our broadband services given the success that we've enjoyed. I think the type of growth that you'll see us postulating in terms of the expectations, with the financial parameters that John Gossling laid out for 2013 does reflect the fact that we are seeing growth across all lines of business, markedly so, and we're going to support that in terms of the way that we make our CapEx investments. The only other comment, Greg, that I think is important to make is we are in a luxurious position of being able to both invest to support broadband growth across wireline and wireless and still pursue our program of returning cash to shareholders through our dividend growth model. And more to come in terms of clarity I'll provide on share repurchases at the AGM. And it's the strong balance sheet of this organization that allows us to simultaneously invest for the future in terms of operational growth and also support our ability to returning cash to shareholders so they participate in the success of our growth programs.
Gregory W. MacDonald - Macquarie Research: A quick follow-on. Can you remind us what the costs, the CapEx costs, was for Rimouski in '12 and what the expectation is for Kamloops in '13?
Darren Entwistle: Why don't we get back to Greg with the specificity on that one with a one-to-one conversation?
Operator: Next question comes from Maher Yaghi.
Maher Yaghi - Desjardins Securities Inc., Research Division: I just wanted to ask you, how much, if any, consideration have been taken in formulating your 2013 guidance with respect to the current CRTC endeavor to regulate the wireless market? Is there anything particularly concerning that you believe is going on with that review that could jeopardize your -- the industry's profitability in terms of EBITDA? And just a question on TV. We're seeing -- and currently, you're doing promotions in the market, offering hardware in addition to PVRs and set-top boxes. You're offering TVs, Galaxy with Notes, et cetera, et cetera. Are we moving into a business model on the TV and Internet side where we're going to see also subsidies increasing down the road, some similar to what we are seeing in wireless right now, in order to keep and retain customers?
Darren Entwistle: Maher, okay, I'll hand the question over to Joe to respond to. I just think an open comment in terms of regulatory intervention and its impact on our business -- I would draw a line under it and say we expect it to be de minimis. And the reason for that is, back in 2009, TELUS as an organization didn't just launch an HSPA network. We launched a new philosophy for our organization which was centered around putting customers first and wanting to be number one on a global basis within our industry in terms of earning the customer's likelihood to recommend our services to families and friends. And we put an immense amount of effort in that over the last few years and it's one of the key reasons that we have been so successful in 2012, not just in terms of growth but also the efficiency of the organization taking out rework and inefficiencies that were associated with underperformance on the client service front through a lot of effort from the team members across the organization. We, as an organization, welcome the consumer code of conduct. It's something that we've been supportive of from the outset, to have a national code of conduct. And we, as an organization, because of what Joe and his team have been doing over the last few years, are essentially compliant with the direction that the CRTC would like to see our industry move because we have been a first mover in that regard and I think that puts us in an advantageous position. I'll just hand over to Joe for some additional color.
Joseph M. Natale: Yes. To Darren's point, the vast majority of the elements in the draft code, which we lobbied for, we're already compliant with and have been for quite a while. So we're actually pleased that it's moving forward and in line with the views of the TELUS organization from a Customers First perspective. There are a couple of issues that we are working through with the regulator, and you would have heard them very specifically in the hearing that happened earlier this week. And there are issues where we think that the elements may not exactly be consumer-friendly. And one example I would throw out, Maher, is the capping of overage charges, therefore suspending a customer after they reach a certain overage limit, in the case, it's being recommended as $50. We believe it's an example that is not consumer friendly. It'd be very difficult to apply. We have a lot of plans that are shared amongst the family. And let me draw the example: If a particular family member were to hit the overage cap because they're watching a movie on their smartphone, do we suspend the entire family as a result of that? So we've been busy talking to the CRTC about, what are the best ways to really, at the end of the day, help avoid the issue of bill shock, which is the consumer friendly mindset that we have? We've led the industry with respect to notifications and driving data notifications. We believe the majority of preponderance of the issues around notification have to do with data, as opposed to voice and SMS. So the other issue that we're pushing back on is with respect to voice and SMS notifications because they are quite complex and tricky to actually enact within our IT systems. Again, you have the notion of evenings and weekends and your favorite numbers and all kinds of interesting kind of takes on rate plans, and it becomes increasingly complex to actually figure out when a particular phone call is outside the bucket or inside the bucket and requires notification or accumulation towards a notification. So we're dealing with those types of issues. The other factor we're pushing back on is just the fact that we'd like one national code. To have a multiplicity of provincial codes and a national code, I think, creates a degree of complexity and overlap and unnecessary bureaucracy, so that's the other kind of issue that we're battling with. But in the main, the vast majority of the elements, we're already doing or we think make tremendous sense. On your question around TV, understand very emphatically that our focus on TV has always been around quality and improved economics. The fact that we have a promotion in the marketplace right now with respect to a free Samsung TV as part of signing up for at least a couple of services, high-speed and TV with TELUS, is nothing new. We have been offering promotional items in the past. Because of our long-standing relationship with Samsung, we've been able to get that TV at a very attractive cost, frankly no different than some of the other promotional features we had in the past, whether it was a tablet or whether it was a laptop, et cetera, in the same sort of range of COA. The important thing to note is that we're offering customers a choice. Some customers would rather have their monthly package on promotion for a few months. Others would rather have the gifted piece of hardware. They're not -- we're not allowing them to have both. We're not allowing the stacking of promotions. So from an economic point of view, this is no different and no different in terms of its aggression in the marketplace whatsoever. So at the end of the day, the TV economics will be largely govern by our ability to continue to drive the operating performance of the organization through some of the things I mentioned earlier in my comments, whether it's driving better churn; driving better ARPU overall, both which are at an all-time record level for us in the TV solution; and then the bundling aspects of the home. Our high-speed Internet loading has been terrific in the last number of quarters, largely due to our ability to bundle entertainment in with the home, as a result. So that's the view overall. We've not seen any sort of increased focus on subsidy in the future.
Operator: [Operator Instructions] Our next question comes from Rick Prentiss of Raymond James.
Richard H. Prentiss - Raymond James & Associates, Inc., Research Division: Two quick ones, if I could. First on your CapEx answer earlier, I understand the spectrum is not included in the CapEx. But are you suggesting maybe that the building-out of LTE in rural is in the CapEx? Or would that be added to that after the auctions?
Darren Entwistle: So your conclusion that the spectrum auction is not in the CapEx is entirely correct. To the extent to which we can get an option done this side of 2014, we would begin immediately deploying within rural areas and that would be within the CapEx guidance that we have provided.
Richard H. Prentiss - Raymond James & Associates, Inc., Research Division: Great. And then kind of thinking back in the last question also. T-Mobile in the United States has been talking a lot about changing the handset subsidy model in the U.S, looking at it either as an installment or kind of built into a monthly plan. What are your thoughts about how that might play out in Canada? Or have you looked at it much as a thought?
Joseph M. Natale: I'll take that one, Rick. So the notion of a handset balance is something that TELUS has been a pioneer in. If you think about Koodo, Koodo was the first to offer a promotion of the Tab. The Tab is essentially a commitment from a customer to pay off over time based on increased usage of their smartphone, and the Tab for Koodo is fixed at $150. On the TELUS brand, going back to some of the comments that Darren made, when we launched a new network in 2009, we launched a whole bunch of Clear and Simple customer-friendly propositions. One that came soon after was the idea of a handset balance. A lot of customers are coming to our stores, as you would imagine, looking for latest-and-greatest handset. And it tends to create a constant source of negotiations between store rep, customer and our loyalty teams as to what the customer was eligible for and not eligible for. What we did is we said, "You know, let's amortize the value of that smartphone subsidy over the term of the contract. Let's publish that on the customer's bill, and then the customer, at any point in time, can upgrade to the next evolution of a smartphone, any device they like, as long as they pay off the handset balance." So we think that's working from a customer-friendly point of view and certainly is Clear and Simple to overall philosophy. In many ways, what I see in the U.S. is the carriers really trying to figure out what is the best equation and the best model to create that level of transparency and that commitment to the customer.
Operator: Your next question comes from Merrill Lynch, Glen Campbell.
Glen Campbell - BofA Merrill Lynch, Research Division: A quick question. We've seen really nice data revenue growth from the wireless side. Could you give us a sense of much your traffic is growing year-over-year? And then I had a more general question on branding. I mean, if the CRTC sort of essentially steps in and regulates Clear and Simple, which seems to be the direction, how then should TELUS think about differentiating its brands from the competition going forward? And I guess a related point is, in an all-smartphone world, then how do you plan to differentiate Koodo from the main TELUS brand?
Joseph M. Natale: Okay, Glen, I'll take that. First of all, in terms of traffic growth, I think you can look at our data growth and use it as a proxy for what our traffic growth is on our network. The 2 are, as you would imagine, highly correlated and very much in line, if you're looking for a kind of an assumption or modeling an assumption around that. Second thing I would say is that our definition of Clear and Simple extends far beyond what's in the wireless code of conduct. Certainly, there are some great elements in there that I said we're fully aligned with, but Clear and Simple also has to do with every aspect of how we run our customer-facing business. I won't delve into a number of the specifics, which I believe are competitively sensitive, but at the end of the day, the tools that we give our call center reps to manage the customer relationship in terms of having a first call resolution and not having the customer call back is a very important factor that is something that we're fully committed to. The training and expertise of our in-store reps is an example, and what we're doing in the stores around learning centers. The learning centers have been met with great appeal and the reason why we've been named the #1 wireless retailer by J.D. Power and other organizations over the years. And I look at our technicians in the field and their behavior when they're in the living rooms of our customers, and the tools at their disposal; I mean, these are all elements of our Customers First philosophy that will show up in our measure of Likelihood to Recommend which is our ultimate measure of customer satisfaction, when a customer is willing to recommend us. So we have a series of specific initiatives that go far beyond the code of conduct. And I believe that the differentiation will reign with respect to that factor. At the end of the day, you look no further than our churn rates and you've seen our industry-leading wireless churn, as an example. I mentioned briefly in the presentation piece that, for TV and Internet, we have record churn in both those products this particular quarter. So we'll continue on that path. And the focus on Customers First only happens if the culture of the organization is fully dedicated and committed to it. Darren mentioned in his comments, we have an organization that has best-in-class engagement, not just nationally in our industry but on a global basis. So you factor those elements with our focus on Customers First, and I think there's a lot of white space between ourselves and the competition on that front. With respect to the Koodo brand and the distinction between Koodo and TELUS in the marketplace, I think what we're seeing is that both brands are evolving. Koodo started as strictly a talk-and-text brand, as I'm sure we all recall. And we've moved it up market, as there has been a great appetite for smartphones. And the smartphone penetration will near 100% in the fullness of time, and allowing Koodo to play in that market was very important overall as an organization. I think the TELUS brand is one that has great appeal and great loyalty in the market also. It really will be a brand that's focused on higher subsidy and a higher degree of distribution, service, et cetera. The Koodo brand has done very, very well for us. The effective margin of the Koodo brand is as good as the TELUS brand overall because it operates in a much lower-cost environment, with kiosks rather than the MI store footprints and much more rationalized set of plans and devices. And then there are demographic differences in terms of who is most attracted to each of those 2 brands. There's no question there's a bit of a blurring of the lines as some of the price points have moved in the last little while in the various segments, Glen, but we still see a pretty strong distinction between the Koodo customer and the TELUS customer.
Operator: Your next question comes from Vince Valentini of TD Securities.
Vince Valentini - TD Securities Equity Research: I want to go back to the CapEx outlook, from a different perspective. I'm wondering, is there any update on decommissioning the iDEN network or the CDMA network and possibly getting some benefits of repatriating that spectrum to use it for LTE in the future? And if there -- if you are thinking about that, are there any sort of costs that go with that in terms of migrating subscribers that could be in your guidance this year or next?
Darren Entwistle: Vince, in terms of long term for this organization, driving a greater homogeneity both in our network and our information technology systems is a sanguine way to go, but we have no specific commentary in terms of decommissioning either iDEN or CDMA. Suffice it to say, right now, we're making the investment on the LTE front and we will address legacy technology opportunities as they arrive both to harvest the cost efficiency to simplify our network technology and to refarm scarce and valuable spectrum to support the bandwidth appetite of new technologies like LTE and HSPA. But in terms of specificity on the decommissioning, no disclosure to that effect.
Operator: The next question is from Drew McReynolds of RBC Capital.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Just 2 from me. First, just the fact that the postpaid churn in wireless obviously continues to trend lower and you guys are, by far, ahead of the pack in terms of where you are. How do you view going lower than this? I think, if you look at the global standard, typically at about 1%, and you guys are almost there on an annualized basis. Can you just kind of walk us through just some of the incremental deltas to get you lower? And the second question. I think, John, you alluded to 2013 wireless guidance describing ARPU growth as modest. I'm not going to kind of ask you to quantify that, but just given the ARPU growth that we saw in your results in Q4, obviously your competitor results also in Q4, there just seems to be a little bit more kind of momentum here on the ARPU side than what was the case, certainly, in the last few years. Just can you comment on is there anything -- mitigating factors we should take into consideration in 2013?
Darren Entwistle: I think I'll let Joe provide some additional color on this. A few things. Without a doubt, we've nowhere near drained the opportunity on the Customers First, Likelihood to Recommend fronts. That's an ongoing journey for our organization. And there's lots more that we can do to improve our operating efficiency and effectiveness from a client-centric perspective that I think will manifest itself positively in terms of earning better results in respect of loyalty and retention, and Joe should be able to give some color there. Two, one of the things that we didn't reference in terms of Glen's question but remains important for this organization going forward is we have a very advantageous and strategic network sharing agreement in place with a peer in our industry. And so when you think about a world that is, as Joe rightly said, going to 100% smartphone penetration, and when we've got data consumption challenges that we want to answer in terms of responding to our clients' needs, to have a network sharing partnership that allows us to invest very effectively in coverage reliability, cell densification, deployment of new technologies to address the data consumption appetites of our clients, that's a big differentiating factor for us to make sure that we stay ahead of the curve for our technology but we do it in a very client-friendly and very cost-efficient fashion. And then the third area for us in terms of driving down churn is, the results that we get from bundling our services really do improve the stickiness of our relationship with our clients. And when you think about broadband, right now, we intermingle wireless and wireline and we think of it generically in terms of the broadband opportunity. And when you look at services like what we're driving for in the end screen front where we want to take an entertainment solution set from the living room to the desktop, to the mobile, smartphone or tablet device, the more that we can do to not just have cross-product discounting but true bundles where we're providing value-add to clients, I think that, that improves the stickiness in the relationship. And in terms of where we can go, I would say, look at -- in terms of aspirational targets from the point of view of how we run our business internally, the postpaid churn result, the 1.12% is, of course, an average. But if you looked at where we are on the iPhone devices and the Android devices, the churn rate for those devices within the smartphone ranges is distinctly below 1 already, with extremely attractive ARPU characteristics, which makes it feasible for us to economically process the subsidy associated with those form factors. And to be well below 1 on those devices whilst we're also getting excellent revenue per client kind of sets an aspirational target internally as to where we would like to drive the churn result as we push the envelope on 100% smartphone penetration within our postpaid base. So we have a continuous improvement philosophy within our organization that Joe champions. And we are always looking to do better. Joe?
Joseph M. Natale: Yes, my -- not much to add to that, Darren. I just would just frame it in this way through: I'd say, the focus of our organization is on quality of loading, above all else. And we don't just look at the churn number. We'll look at the lifetime revenue. We'll look at the cost of acquisition as a ratio of a lifetime revenue. We'll look at the cost of retention and the importance of that -- because churn is great, but what are the costs to get that churn? The overall economics are really plain. Darren spoke very well around all the things that we're doing to drive it forward. The customer experience is at the heart of that. Customers leave because organizations let them down. And the extent to which we can drive that customer experience, we will win the hearts and minds of our customers and continue to post the types of results that we have put forward. A COR of 13.4% of network revenue, with a 1.12% postpaid churn, I think, is a very powerful combination. And I look at our COA as a percentage of lifetime revenue; it's industry leading. So I think it's -- as long as the organization is focused on quality, we'll maintain that constant incremental improvement on that factor. The minute we kind of change our deviation, then we run the risk of losing that focus. And right now, the organization is 100% incredibly focused on that factor.
John R. Gossling: Drew, it's John. On the ARPU assumptions, you're right, I'm not going to give you specific guidance. I think it's fair to say, though, that we would expect similar trends in 2013. Obviously, voice ARPU declines have moderated and we would expect that to continue. And data, as we've said in many aspects of this call, data is where the traffic and the revenue growth is coming from. And again, we would expect those trends to continue.
Joseph M. Natale: If I can just add one more quick comment, Drew. You've heard me say this before, but our focus on organization -- as an organization is really around AMPU, above all else, and the average margin. It -- what floats to the margin line from the revenue accretion opportunities ahead of us, again, it goes back to the concept of quality. Now the reason we had 41.3% network wireless margin in Q4 is because of that focus on AMPU rather just on ARPU. ARPU growth is terrific, we're very proud of the ARPU growth, but it has to come with the AMPU behind it.
Operator: Your next question comes from Dvai Ghose from Canaccord Genuity.
Dvaipayan Ghose - Canaccord Genuity, Research Division: I'd like to revisit the balance sheet question. I may be jumping the gun, with the AGM coming in May. But at 1.6x debt-to-EBITDA, x restructuring at the end of last year, your peers are well north of 2. Your nearest competitor's, Rogers, insured at about 2.4x. I'm wondering what you're comfortable with, Darren, in terms -- and John, in terms of leverage going forward. And on a related basis, given the efficiency of debt versus equity especially on a tax basis, I was wondering if John could give us a little bit more color on the cash taxes? You're guiding to $390 million to $440 million this year versus only $150 million next year. To what extent is that permanent versus an artificial unwind of the LTE partnerships for the next few years, à la your peers like Rogers?
Darren Entwistle: Dvai, I can confirm categorically that you indeed are jumping the gun [indiscernible] AGM. So I thought it would be a good start to 2013 to deliver excellent Q4 results and provide best-in-class guidance in terms of our growth aspirations on the financial and economic front for the 2013 year and, of course, to continue to deliver on our dividend growth model, so that's exactly what we're doing. I know there's an appetite in terms of what are we going to do with the dividend growth model in 2013 and beyond, and I think that's fair, as well as the potential for share repurchases. And as I've guided investors for some time now, we will give clarity on that at our upcoming AGM, as we did originally back in 2011 when we launched the dividend growth model in the first place. So I think that's the natural venue to pick up that conversation. I could tell you that I look forward to the AGM and providing investors with specificity in terms of magnitude and regularity as to where we're going to take our dividend growth model beyond the 2013 timeframe and as well in respect of the potential for share repurchases. In terms of looking at our net debt-to-EBITDA, and again back to your comfort point -- and I appreciate, Dvai, that you're concerned with our comfort, so thank you for your consideration. I would say, when we have a range of net debt-to-EBITDA of 1.5x to 2x and we've been pretty scientific about that particular approach, maybe zealous in our rigor, but it was all around creating the right circumstances from a debt load point of view to minimize the weighted average cost of capital on a debt-equity combo for this organization. And we thought minimizing the WAC was the right thing to do given the magnitude of capital expenditures that we make on a regular basis. What I can tell you is that we are very conscious as to the absolute strength of our balance sheet and the differentiated strength of our balance sheet, which is why I made quite purposely the comments at the outset, on the first question, which is: TELUS as an organization is in a position to simultaneously fund broadband growth initiatives across both wireless and wireline from a position of success. We are experiencing true success in terms of both the overall parameters of our wireless business. And it was nice to see, in Q4, our wireline business turned accretive, thanks to what Joe and his team have been able to accomplish on the TV and on the Internet front. And so to be able to do that from a position of strength and investment in future growth along the way and then simultaneously leverage the strength of our balance sheet and the growth that we are delivering to continue to return cash to shareholders really does put us in an enviable position. And one of the hallmarks I think, as an organization is, don't sit back and say, "Wow, we've got a great balance sheet. We had really good Q4. We've got great guidance going into 2013. Let's sit on our hands." In the fourth quarter of 2012, we did just the opposite. We got together as a leadership team and we said, "Look, despite all the success, we've got to have another round of taking cost out of our business." And in the fourth quarter of last year, we invoked a project, a company-wide project, that said, "All right, we're going to do the work at the end of 2012, with the target of taking $250 million of costs or $250 million of EBITDA improvement injected into our business over a 3-year time horizon." And everyone across the leadership team of the organization rolled up their sleeves, and we achieved just that, which is why we're communicating it to you today. And so when I look at the combination of future growth coming from a position of strength in both wireless and wireline, balance sheet latitude and growth harvesting to support our dividend growth model and other things that we may contemplate and buttressing all of that through our new cost-efficiency programs is a pretty good position to be in for an organization. And it's interesting, even with Vince's question, I mean, you can talk about decommissioning legacy networks and so on and so forth and the costs of that. What I can tell you is, any efficiencies that would be realized from retiring legacy technologies and refarming that spectrum is not in our current guidance. That's all upside for us to realize into the future. And that's a nontrivial consideration. And so that's over and above what we postulated within the $250 million of EBITDA improvement. So lots of opportunity within this organization and we're pursuing it from a position of strength.
John R. Gossling: Dvai, on the tax question. There are several factors at work here. I think, to your comment or question on the partnership deferral structure, that actually isn't driving the impact we're seeing going forward in 2013. That will be in the later years. And that was never a permanent deferral of cash tax in any event. That was a timing structure. So really, what's happening here is -- and in sense it's a good news story because of the improvement of the profitability and the taxable income. So as I said in my comments, it's coming from 2012's final taxes payable. That drives your installment base in 2013. The other thing that was happening was we did have some resolution of some previous-year tax matters in 2012 that provided cash refunds for us to the tune of around $75 million, so that's driving the year-over-year increase as well. But that partnership structure is not what's driving it.
Operator: The last question is from Jeff Fan from Scotia.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: My question is regarding the smartphone penetration. I think, Joe, you mentioned the industry and TELUS is going to go to 100%. I'm just wondering, as you're going down the -- going up the penetration curve with smartphones, a couple of your other peers have talked about affordability issues as you go into, I guess, the lower end of the base. Do you think there needs to be something changed with how smartphones will be offered, whether it'd be the subsidy model or something different in order to get us to that 100%? And then if so, I guess, how do you look at the maintaining the economics of smartphone customers, going forward?
Joseph M. Natale: Thanks, Jeff. So I do think that smartphone penetration will continue to grow towards 100%, as I mentioned earlier. You know what, I'll maybe kind of break my answer up into a few pieces. First of all, on the high end, our high-end smartphones like the i5, GS III, et cetera, the economics are great. The lifetime revenue is over 2x the average. And certainly, there was a subsidy investment and higher costs to serve those customers, but the economics are good. On the mid- to bottom-end of the market, I would say that the Android ecosystem continues to pop out much more affordable devices in that mid tier. We're seeing some great sub-$200 Android smartphones in the marketplace, and therefore it's making smartphones available and accessible to the mid- and lower-tier segments of the market. And at the end of the day, even the low-end smartphone segments have much better economics than the talk-and-text segments had in the past. It wasn't long ago, they were paying quite a few hundred dollars for a talk-and-text phone. And I think even the customer that is maybe not as comfortable with data in the beginning will -- we're seeing often buying into a small data plan, getting more comfortable over time and evolving that plan. The factor that doesn't get talked about much is that there is sort of a value escalation that's happening in the marketplace. We're certainly seeing the talk-and-text customers move into low-end smartphones. We're also seeing the low-end smartphones customers move into medium-end smartphones and the medium-end smartphones moving into the upper tier. The number of BlackBerry Curve customers from a years ago that are now on iPhones is a dramatic migration that we've seen. I think, years ago, we talked about voice-to-data as a phenomena. Data-to-data is as big a phenomena now as voice-to-data was years ago. And what happens from a consumer point of view is customers get used to using their phone and the data features. It becomes even more intertwined into how they live their lives. It becomes truly the remote control for their lives, as you've heard me say in the past. And as a result, they continue to grow and adopt bigger data plans and use them more often, and it drives the whole ARPU characteristic and economics of that customer. So I think you have to look at the kind of the entire lifecycle of that escalator effect that's happening in the marketplace as well. In terms of affordability, I mean, we'll continue to find creative ways of making smartphones affordable to the right customer segments. You saw us launch a 2-year mid-tier plan out of TELUS recently. The whole goal there is to make a mid-tier smartphone available to a potential TELUS customer in that segment. And we led the way with the Tab on Koodo and we led the way on the handset balance on TELUS. And we'll continue to push the envelope in terms of finding the best creative ways to amortize and manage that subsidy and make smartphones available to anybody who wants one.
John Wheeler: Okay, thank you very much. I'm just going to answer that one question we had earlier about the cost of the IDCs. The combined cost is about circa $150 million for both of them, and they are scalable over time. On that note, thank you very much for joining us today. And we look forward to working with you in the coming months and weeks.
Operator: Ladies and gentlemen, this concludes the TELUS 2012 Q4 Earnings and Guidance Conference Call. Thank you for your participation, and have a nice day.